Operator: Good morning. Welcome to the Iridium Communications First Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kenneth Levy. Go ahead.
Kenneth Levy: Thank you, Kate. Good morning. And welcome to Iridium’s first quarter 2020 earnings call. Joining me on the call this morning are our CEO, Matt Desch; and our CFO, Tom Fitzpatrick. Today’s call will begin with a discussion of our first quarter results, followed by Q&A. I trust you have had an opportunity to review this morning’s earnings release, which is available on the Investor Relations section of Iridium’s website. Before I turn things over to Matt, I’d like to caution all participants that our call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not a historical fact and include statements about future expectations, plans and prospects. Such forward-looking statements are based upon our current beliefs and expectations and are subject to risks, which could cause the actual results to differ from forward-looking statements. Such risks are more fully discussed in our filing with the Securities and Exchange Commission. Our remarks today should be considered in light of such risks. Any forward-looking statements represent our views only as of today and while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views or expectations change. During the call, we will also be referring to certain non-GAAP financial measures, including operational EBITDA and pro forma free cash flow, free cash flow yield, free cash flow conversion. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. Please refer to today’s earnings release and the Investor Relations section of our website for further explanation of these non-GAAP initial measures and a reconciliation to the most directly comparable GAAP measures. With that, let me turn things over to Matt.
Matt Desch: Thanks, Ken. Good morning, everyone. Well, I guess, it goes without saying that we are living in some very interesting times. This current global pandemic has changed the fortunes of many businesses around the world at least temporarily and we are starting to feel some effects too. Now while our first quarter was quite strong, the global business and social lockdown underway clouds our visibility to the rest of the year. During today’s call, we will share the trends that we have seen through April and how they are coloring our outlook. You will see from our comments that our business model is resilient and unlike many other companies, we are happy to still be forecasting growth for the full-year. First, let me address Iridium’s operations during the onset of the virus outbreak. We quickly took precautions almost two months ago to ensure the safety of our employees. We wanted to remain responsive to our customers and partners, protect the health of our employees and ensure that our operational cadence was maintained. The essential employees were identified that needed to work in our facilities or operate our satellite and ground networks, as well as utilize testing equipment in our labs and facilitate product shipment to customers. So decisions in retrospect have all been very effective. We were actually well-prepared for remote work as our corporate IT and security are quite advanced. We really haven’t missed a beat in terms of ongoing business operations though, like, all of you, we long for the camaraderie and social interactions of working in a close-knit office environment and even the travel to fit to meet physically with partners around the world. I can report that our supply chain is also in good shape and we aren’t having any significant inventory issues. We should have sufficient stock to meet as expected equipment [Technical Difficulty] Our first quarter results were strong and while I will leave it to Tom to walk through the numbers, to me the strong performance is indicative of the underlying strength of our business during normal times. In the final weeks of March, the strong trend that typified 2019 and the first quarter started to slow, and in April and with the whole world in lockdown, we seem to have entered an entirely new environment, which is unlike anything we have previously seen. Now for historical perspective, we weren’t affected much during the global market crash and recession of 2008, largely thanks to the mission critical role our services play for enterprises and governments around the world. The current climate however is very different from 2008 or other past cycles. Social distancing has put healthy companies on hold and there’s not much precedent for that. So we are all working through the day-by-day to try to understand the impacts of COVID-19, how long it will last and what the long-term effects will be. Our partners are experiencing the same business and operational restrictions we are in terms of visiting with customers, completing new installations and closing our new business opportunities. We are keeping in close contact with them to understand the changes in their respective industries and their expectations of customer behavior for the rest of the year. While this is helping inform our outlook, we are all working from our own set of assumptions based upon where we sit in the customer value chain and there is no consensus on how quickly things will return back to normal. Based upon this, we have revised our full your outlook. We are comfortable confirming that we still expect to grow service revenue and operational EBITDA over 2019 levels, but that’s as far as we can go at this time. There are too many variables and uncertainties to fully understand how long the economic shutdown spurred by the virus will last and how long it will -- it may take for businesses to reopen. Remember, Iridium touches many different industries across the globe and each is on a different cycle in responding to the effects of the current lockdown. From what we can see at this point, subscriber count should continue to grow in 2020 albeit at a slower pace. We expect that our high margin service revenue will also grow from 2019 levels, driven by contractual step-ups in certain contracts and increased subscriber levels, though at lower overall ARPU due to lower usage. Equipment sales are less clear, while they were in line with our expectations in the first quarter, the current economic environment makes it prudent to plan for a slowdown. Given that equipment contributes lower margins on our service revenue, the impact of the slowdown isn’t as dramatic to our bottomline. Engineering revenues also seem to be holding up well as our primary customer for engineering services the U.S. Government is expected to continue to execute on their projects this year and has dedicated funding for these programs with us. Despite all these puts and takes for 2020, the most important theme for Iridium remains our ability to generate strong free cash flow. We have been enthusiastic and vocal about our business transformation in recent years and its theme of strong free cash flow is still very much intact despite the slowdowns that we are seeing. We are very fortunate that we are facing these challenges in 2020 rather than several years ago when we were in the middle of the Iridium NEXT Capital program and down by the financial requirements of our former credit facility. This year, we still plan to deliver significant free cash flow and will continue to delever our balance sheet. So our financial transformation and plans to return capital to shareholders are still very much on the horizon. I am sure you still would appreciate more about the specific effects of the pandemic that we are seeing from our partners and their businesses and how it might affect our revenues. Overall, it appears that the effects at this time are greatest in aviation, oil and gas and in maritime, particularly as it relates to installation of terminals. We are also seeing a disruption in the typically stronger summer sales and activation season for our legacy satellite phone business. In aviation, safety service usage revenues were down with the drastic decrease in flight hours. So we are not seeing as many deactivations as you might think. Deactivation of SIM cards on commercial aircraft can be a cumbersome exercise and customers expect that flight schedules will eventually recover. Oil and gas partners are experiencing a slowdown in their business due to low oil prices and lower demand that people work from home and travel less. On the maritime front, we are not very exposed to the well-publicized decline in the cruise industry, but we are experiencing slower activations than previously anticipated of Iridium Certus terminals on ships as cruise don’t want external installers onboard while in port due to concerns of virus transmission. We still see very strong interest in Iridium Certus, but expect it will experience a temporary slowdown in activations for the next quarter to until installations can resume. The good news is the feedback from users remains very positive. The maritime industry appreciates that Iridium now offers the most reliable and fastest L-Band service available and we are the only satellite company that can provide true global coverage. We continue to hold high expectations for Iridium Certus and know that our broadband service is an important vehicle of growth this fiscal year and out into the future. However, it makes no sense in the current environment to continue to try to peg year-end 2021 revenues. They will be what they will be, but we are confident they will be a lot higher than they are today. You can track the quarter-by-quarter growth for yourselves now that we are breaking out broadband revenues and subscribers in our financial tables. The other impact related to COVID-19 that we are seeing that’s worthy of discussion is a sudden and big slowdown in consumer product activation in the IoT area. Two way personal communicators from companies like Garmin are often sold through retail stores that have been closed for quite a few weeks with the ongoing pandemic. We are expecting that activation to be lower than normal this year as the virus shut down and it’s hitting them right in the season we would expect to see the most growth. A number of other IoT partners are also growing slower than in the past. Many have told us that they are hampered by COVID restrictions and the global slowdown in business, but expect to bounce back if things get back to something more normal particularly since their end customers are dependent on these IoT solutions in their own businesses. Overall, even though we don’t yet know the complete depth and breadth of COVID-19 or how long it will ultimately impact our subscribers and partners, let me be clear that our company is in a very strong financial position with excellent liquidity today. We are operating a brand new consolation, completed two well-timed financings during the last six months, are coming off another great quarter’s performance that demonstrates our competitive value and continue to generate significant free cash flow, which is helping our leverage position. Now one area we haven’t seen and don’t expect to see much impact is with the U.S. Government. We are fortunate to have completed the new seven-year fixed price contract for our legacy services with this customer last year before the current economic slowdown. We are also not seen much impact of the Coronavirus on all the engineering programs underway with them, including the installation of Iridium Certus at the government’s private gateway. Switching gears to Aireon, it continues to deliver on its promise to improve aircraft surveillance and safety and provide operational efficiency to air traffic controllers and aircraft using ADS-B. The COVID-19 crisis has had an outsized impact on global aviation traffic, which for the near-term has significantly reduced the number of commercial flights and the results in total number of aircraft being controlled by NSPs. This will have some impact on Aireon’s revenues. While the company continues to sign new contracts, less consumer demand for air travel will reduce the part of their revenue that’s based on flight hours. Overall, Aireon has a solid base of revenue and strong financial backing including a $200 million credit facility they are accessing. Iridium’s hosting and data service contracts with Aireon are contractually fixed price and are current, and we expect them to stay that way this year. Overall, our confidence in Aireon remains high and they continue to execute well on their business objectives. So as I turn the call over to Tom for his comments, let me just re-emphasize that despite the unprecedented times that we are going through, Iridium’s business is demonstrating itself to be quite durable. We are positioned well with a diverse stream of income, customers around the globe and applications that are important and unique. Our wholesale business model proved its resilience in the 2008 downturn and we will see it through this one as well. We believe that our continuing strong cash flow stacks up well against other satellite companies and companies in many other sectors right now. Hopefully we will all pull through the current crisis soon and get back to something more normal in terms of growth. I know our partners and employees look forward to that as do I. With that, I will turn it over to Tom for a review of our financials, Tom?
Tom Fitzpatrick: Thanks, Matt, and good morning, everyone. I’d like to start my remarks by summarizing our key financial metrics for the first quarter and provide some color on the trends we are seeing in our major business funds. Then I will recap our 2020 guidance, which we revised this morning and close with a review of our liquidity position and capital structure. Iridium generated revenue $145.3 million in the first quarter, which was a 9% increase to last year’s comparable quarter. The improvement was driven by growth across all of our business lines with the largest dollar contribution coming from recurring service revenue. Operational EBITDA was $92.1 million, which was up 18% percent from the prior year’s quarter. On the commercial side of our business we recorded service revenue of $91 million for the first quarter, which was 10% percent higher than the prior year’s period. This primarily reflected growth in hosted payload and commercial broadband services along with positive trends in IoT and voice. Voice and data service revenue, which represents our telephony business rose 1% this quarter. For the first time we provided a break out of our commercial broadband revenue, which totaled $8.7 million in the first quarter, up from $6.8 million in the prior year, representing 28% growth. This new line item represents broadband revenue at 128 kilobits per second and higher -- and includes Iridium OpenPort and Iridium service broadband. We continue to believe that broadband will be a long-term driver of subscriber growth and new revenue for our company and remain happy with reception the products has received by our channel partners though our rate of new activations is being challenged by recent Coronavirus impact. Our IoT business continues to grow in first quarter. We began to feel the effects of the recent world events in the second half of the quarter with reduced usage of devices in aviation and marked slowdown in activations in personal communication devices with the channel being closed by the shutdown. IoT ARPU in the first quarter was $9.71, compared to $11.32 in the prior year. The driver of this year-over-year year decline in ARPU continues to be the significant addition of IoT subscribers on a low data plan, mostly notably, consumer-oriented personal communication devices. During the quarter, we added 27,000 net new commercial subscribers, with the gain coming entirely from our IoT business. As I noted, we see a marked change in IoT growth, particularly in the number of net additions from personal communication services in March -- mid-March as the retail channel closed. At present, commercial IoT data subscribers represent 70% of billable commercial subscribers, up from 65% in the prior year period. Hosted and other data service revenues increased to $16.3 million this quarter, up 17% from the comparable quarter in 2019. Substantially all of this increase was due to higher hosted payload and data service revenues associated with the step-up in Aireon’s data service agreement with Iridium. The increase in this revenue coinciding with Aireon is clearly a key customer milestone in the first quarter. Turning to our Government Service business, we reported revenue of $25 million in the first quarter, up from $22 million in the prior year quarter, representing a 14% rise. This increase was due to the contractual terms of the EMSS contract, which was renewed last September. In the first quarter, government subscribers grew 22% year-over-year and total U.S. Government customers reached a record 140,000 this quarter. Equipment sales improved into the New Year as they were largely unaffected by macroeconomic development, but we expect this trend to change. We reported $22.3 million in revenue from equipment sales in the first quarter with equipment margins a bit higher than the year ago at 45%. With the impact of COVID-19 being felt across a number of commercial industries, we now anticipate a slowdown in equipment sales through full year 2020. Engineering and support revenue, which is largely episodic, was $7 million in the first quarter, as compared to $5.7 million in the prior year’s quarter. The pickup from last year reflected increase in work under our engineering agreement with Aireon to work in their operation center, as well as an increase in government agency work to enable Certus capabilities for the U.S. Government. As you saw in our earnings release this morning, we have updated our 2020 full-year outlook to better reflect our early estimate of the Coronavirus and its impact in our business. We now expect the EBITDA at 2020 will be higher than $331.7 million we reported in 2019. We will provide a more specific target range at a later date once the operating environment stabilizes. Our updated outlook is predicated on the bottom assumptions. We expect a decrease in our equipment revenue due to the combined effects of the distribution -- the disruption in global business operations, the strength of the U.S. dollar and the deterioration of the oil and gas market. We have also updated our growth outlook and our service revenue. Despite the negative effects of the Coronavirus, we continue to expect growth in our service revenue. This is driven by the following factors. We expect growth in our government service revenues and hosted payload revenues based on contractual step-ups. We expect a decline in our commercial telephony business as a consequence of the current global economic shutdown and ongoing macroeconomic developments. Iridium’s business is seasonal with the second and third quarters characterized by higher subscriber additions and higher usage. We expect this fallout will be particularly impactful as the economic shutdowns are carried in the heart of our selling. We do not expect growth in our IoT business in 2020. This segment performance has been impacted by two primary factors arising out of COVID-19. First, we expect materially reduced activations of personal communications device in 2020 and a reduced ARPU, as subscribers increasingly adopt lower usage plans. Personal Communications grew by $4.3 million or 51% in 2019, but we now expect it to be about flat over on 2020. We also expect materially reduce usage in aviation. This is averaged about $2.6 million in quarterly revenue, thus far in April this is down about 60%. We expect similar reductions for the balance of the second quarter with some improving in the third and the fourth quarters. IoT’s performance is also being negatively impacted by exposure to the oil and gas sector, though this impact is not as material as aviation hand has -- as readily quantifiable. Further, other sectors such as asset tracking are experiencing lower activity with the global shutdown. IoT’s performance this year will ultimately depend on the pace and time of recovery. We expect growth in our broadband business as our Iridium service offering continues to resonate in the market. The rate of activations of our terminals is being hampered by the global economic shutdown, but we still anticipate growth and have adjusted our revenue projections accordingly. We also continue expect material growth in broadband revenue in 2021, but no longer expect to achieve an exit rate of $75 million due to a slower Iridium service installations. We continue to expect negative cash taxes through 2023. [Technical Difficulty] and forecast that depreciation and amortization expense remained steady at approximately $75 million in the quarter. Together, these revisions provide the confidence in our 2020 outlook and support our forecast cooperation EBITDA. Moving to our capital position, Iridium had a cash equivalent balance of approximately $67.3 million as of March 31, 2020. And we completed two important refinancing activities. Since November, we expect pro forma annual interest expense to decline from $112 million in 2019 to $90 million in 2020. Full year maintenance CapEx cost remained at approximately $35 million. We continue to believe that free cash flow provides a useful benchmark with the help and earnings power of our company based on quarterly results we delivered today and the revised outlook to EBITDA this year, we believe Iridium will generate pro forma free cash flow at least $177 million for the full year 2020. For all those greater purposes consider the following. If we started EBITDA at $332 million and subtract $90 million in pro forma net interest to reflect our new debt structure and $35 million for CapEx, and $30 million for working capital inclusively appropriate of hosted payload adjustment, 2020’s pro forma free cash flow to push conversion rate in excess of 50% and dividend yield greater 6%. This is up from pro forma free cash flow of $168 million in 2019. The important takeaway here is that we expect Iridium to grow cash flow even in this unprecedented business environment. Iridium closed the first quarter with leverage of 4.6 times [ph] EBITDA and based upon on guidance revision expect to exit 2020 with net leverage of no more than 4.4times EBITDA. We expect continuing to deleverage in 2020 despite broad-based global economic challenges. In closing, given the uncertainties we now face, we are glad we chose to be proactive and refinance our debt early this year. And while we revisit our financial assumptions based current economic climate, we continue to be confident in Iridium’s business. We know that Iridium has been a strong financial position even as we face the uncertainties posed by the Coronavirus and look forward to keeping you updated on our progress. With that, I will turn things back to the operator for the Q&A.
Operator: [Operator Instructions] Our first question is from Ric Prentiss from Raymond James. Go ahead.
Ric Prentiss: Thanks. Good morning, guys.
Matt Desch: Good morning, Ric.
Tom Fitzpatrick: Good morning, Ric.
Ric Prentiss: Glad to hear you are doing okay and your employees are all safe. A couple of questions if I could, first, on the 2020 guidance, obviously, a very good start to the year on 1Q numbers, as we think about the next three quarters, though, do you think you would have been able to grow service revenue then EBITDA if you hadn’t had such a good start to the 1Q?
Matt Desch: Well, I mean, if we hadn’t -- if you mean if the Coronavirus hadn’t struck would we continue to grow. I think the first quarter was -- I’d like to think the first quarter was indicative of the health and strength of our business overall, might have indicated even a stronger year than we originally expected it to be. But of course, everything’s changed in the last seven weeks or eight weeks in terms of the market’s ability to take things up. So it is -- that’s where our new expectations for the year come from at least in terms of what we are seeing so far in the last seven or eight weeks. But I think the first quarter was maybe even better than we originally expected, and unfortunately, this isn’t what their year is going to pan out to be. 
Tom Fitzpatrick: Yeah. I just -- I would add that. I think the first quarter is a good -- go ahead, Ric.
Ric Prentiss: Go ahead, Tom.
Tom Fitzpatrick: I was just going to say the first quarter is a good picture of unaffected Iridium. But we are a little bit -- in IoT, we saw some weakening in IoT in March. But if you look at our telephony business group grew 1%. So it was -- and then COVID-19 happened and if you look at our -- we are -- our guidance and how we are thinking about 2020 is highly colored by the trend we are seeing in April. If you consider our telephony business in the second quarter of 2019, we had net ads 10,000 net adds. If we look at April trends, that suggests the second quarter 2020 has been negative in at least 5,000 and so that sort of happened overnight. And what’s very interesting is if you study the activations and deactivation. The deactivation are just about equal to what we saw in 2019. It’s all about a lack of activation because the channels are closed. It’s a global lockdown and we see that in our numbers almost to the day that it took effect.
Ric Prentiss: Good. And when you think about the guidance for growth for the year, would you guys suggest or maybe thinking of maybe a U-shaped recovery as opposed to a B or W or any other kind of thought kind of you right now?
Matt Desch: Yeah. Certainly more a U than a B and that in my remarks I highlighted, right? If you look at our trend for forever because there’s a view that follow this for a long time, the second quarter and third quarter is when our telephony business were adding subscribers, right? That’s when episodic, somebody that is going out on an expedition, et cetera, they buy it from a prepaid voucher. So the fact is that the globe, that we have a global shutdown right in the summer, it is impactful to us, because if you -- the U occurs, as you say, what we expect to happen in the fourth quarter is not going to be as particularly impactful to us because our kind of our selling piece is beyond it.
Tom Fitzpatrick: Yeah. I would also say -- I would say, Ric. I’d also just sort of add, I don’t think that -- I don’t think you can -- we are not smart enough after seven weeks or eight weeks of knowing exactly how the recovery is going to occur, like, is there a catch up perhaps with people who are dying to take those trips that they hadn’t taken, expeditions that are still just been rescheduled. We don’t know that. So, I would say this is more in line with, I don’t even know what letter it is, but it’s sort of more based upon just a trend of late March and the rest of April here, and the expectation that it will be a -- not a rapid recovery here for the third quarter at this point.
Ric Prentiss: Make sense. Last one for me, when you talk about leverage of no more than 4.4 in the year. How are you calculating that? Is that like an annual 12-month worth of OEBITDA, is that a 4Q OEBITDA annualize, I am just trying to think of what the less than 4.4 on leverage mean?
Tom Fitzpatrick A - Tom Fitzpatrick: Right. So, with the fourth quarter exit rate, so in our guide, take 3.32 as EBITDA, that would be LTM, divided by the debt, it gets to 4.4. It’s a converse of at least…
Matt Desch: OEBITDA.
Tom Fitzpatrick: …less OEBITDA, yeah.
Ric Prentiss: Right. Right. Okay. Good luck and best wishes through this crazy time.
Matt Desch: Thanks, Ric. 
Tom Fitzpatrick: Thanks, Ric.
Operator: Our next question is from Greg Burns from the Sidoti & Co. Go ahead. 
Greg Burns: Good morning. So, in terms of the hosted, the payload data revenue, instead of number of how we should be thinking about it through the rest of the year, was there any kind of one-time catch-up revenue? 
Tom Fitzpatrick: No. It’s not clean. It’s heavy, Greg. There was a $1.4 million out-of-period related to the Harris payload and there was about $400,000 of out-of-period related to the Aireon payload. So, it’s tied by close to $2 million. I think about those two payloads, we, for some time, said that steady state is around $47 million. That number I would model 2021 and beyond.
Greg Burns: And then, I just want to follow up on the Aireon commentary. How comfortable are you with their ability to meet their financial obligation [Technical Difficulty] too long for the require additional financing there [Technical Difficulty] what’s your view on [Technical Difficulty]?
Matt Desch: So their financial picture for this year is solid. They have -- they are on an operating cash flow and a credit facility and so we expect them to pay us as they have been paying us all through 2020. When we get into 2021, it’s going to depend to their -- the expectation by IATA is that air traffic comes back and so that’s that is the expectation. You remember their ownership of Aireon is very well-established in aviation and believe in that business. So, we think that they will be able to honor our -- their obligation to us in the normal course.
Greg Burns: Okay. Great. And then, I guess, obviously, you are seeing an impact of the sort of impact [Technical Difficulty] of the Coronavirus. But prior to kind of this all happening, what were you seeing, I know the activations were [Technical Difficulty] offset, were you seeing a pickup in activity barring what’s happening now? What were you seeing [Technical Difficulty] adopt and activation, the pace of that business before the slowdown?
Matt Desch: Well, I mean, it was building. I mean, there’s still -- there’s a lot of things to happen this year. For example, we just introduced the faster speeds and that was starting to be implemented in all the terminals. So and really the performance was excellent and people were seeing that. Of course, GMDSS is under -- actually it’s in beta trials right now and out on ships, but that was coming this year. There was another terminal coming here into the market. In fact there’s a number of terminals under development all this year and there’s a whole bunch of other activities. So, I would say, it looked like a strong business to us. It looked like a business that was competitively exactly where we wanted to be. And then we started seeing the partners telling us they weren’t able to get on ships in many ports. And there’s still -- by the way, there’s still activations going on. I mean, there is still net positive activations each month. It’s just lower levels because our partners are telling us they kind of have a backlog of ships and contracts that they can’t really get through right now.
Greg Burns: Okay. Great. So the outlook is still for growth, revenue growth on top of what we saw in Q -- you showed this quarter…
Matt Desch: Yeah.
Greg Burns: …lower base?
Matt Desch: Yeah. No. Broadband is still a grower for us this year and maybe not the levels we had hoped or thought it would be pre-COVID-19, but it’s definitely a grower for us and a bright spot, if you will, in our in our financial picture.
Greg Burns: Okay. Great. Thank you.
Matt Desch: Thanks.
Operator: Our next question is from our Hamed Khorstan from BWS Financials. Go ahead.
Hamed Khorstan: Hey. Good morning. Good morning. Could you talk about what kind of risk you are exposed to as far as accounts receivables and if you have seen any changes there in collection?
Tom Fitzpatrick: Not particularly. We have been talking to our aviation partners. You will see Speedcast most recently filed for bankruptcy. We are -- we do have receivables with Speedcast but we would expect to be named a critical vendor to them. As we would kind of in most circumstances, we think about our relationship with the channel, we are the revenue of the channel and so we can’t get more critical than a vendor like we do. So Speedcast we expect to collect that receivable notwithstanding their bankruptcy. And so we are -- we have the leverage, et cetera, and a longstanding history of not having too much in the way of bad debt because of that circumstances.
Matt Desch: Tom, you would agree, though, that even…
Hamed Khorstan: And…
Matt Desch: …cash is not that unusual of an account receivable. I just saw their list of creditors and everything. And you -- obviously, we are not on the list. We didn’t make the list the top nine or 10. It’s still relatively insignificant as it goes because while Speedcast was an important area of growth for us, it wasn’t that large of an overall partner for us. It was more of a future partner. It was more they inherited some of our business from their acquisition of Globecomm and a little bit from Caprock and that sort of thing. And so it was more what the potential was for them as opposed to necessarily a loss of or a concern really about the receivable itself especially if we are an essential supplier to them.
Hamed Khorstan: Okay. And then the other question I had was about pricing. Are you seeing any discounts, are you going to be doing any discounts in the market just given the low activity right now?
Matt Desch: Well, we are being helpful in certain areas where it makes some sense. For example, we are generating a lot of goodwill right now in the maritime world by offering some free crew cards to our broadband customers there. Anybody who has an OpenPort sort of terminal has the ability to get some chat cards as they are called for a crew to call their families. They are paying the Internet anyway today. But it’s obviously a better thing if they can talk to their families during this time and do that. So, like, until September, I think, they have a number of minutes that their crew can use and that’s really well appreciated by them. But that isn’t per se a drop in price or a promotion, and probably, traffic that wouldn’t have occurred anyway, and because we didn’t want them to be using our product. Beyond that, no, there isn’t any, I mean, obviously, some industries are under more stress. If you can imagine aviation is under relatively a mouse trap. But that’s very much a usage-based business. So kind of discounted that the customers aren’t flying their airplanes right now or they are parked on the airport trying to get started again and so that is just revenue that otherwise wouldn’t be coming, so that that really isn’t. I would by the way, I mentioned those crew cards, I mean, that’s coming right in line, by the way with Inmarsat who has raising prices soon on all their Inmarsat feat customers, which are primarily their GMDSS customers and they are creating a minimum revenue commitment per month for terminals that historically haven’t charged anything. So you can imagine from a competitive environment, we are in a very positive position and that we are not raising prices on our customers right at their most vulnerable time as our primary competitor is doing. And that’s obviously very appreciated particularly in light of, we expected long term to get a lot of GMDSS, activations for new ships, but maybe there will be a lot of existing ships that aren’t very happy with their supplier either long-term and will want to change out their suppliers. So, I’d say that’s it. It’s not so much -- they are not really discount, because I don’t think you generate business when people are lockdown, this isn’t -- I don’t think this is a recession kind of activity out there where, where these businesses couldn’t afford it, they just can’t -- they can’t, they are not active, people aren’t able to manufacture a new buoy or a heavy -- piece of heavy equipment then they can’t put a satellite tracker on it and I am sure that will get back to being normal once things come back to normal.
Tom Fitzpatrick: Yeah. Matt, I would just amplify that. This is nothing like -- we modeled the 2008, 2009 recessions. Our telephony business grew sub straight through that recession. We never had it in the second quarter, always strong net activation. This is different. This is a global lockdown. It’s unprecedented and the -- call it’s is not a recession.
Hamed Khorstan: And finally, the lower usage that you are reporting is that just from customers just being poor longer or is that just there is no activity going on these ships?
Matt Desch: Well, the ship actually -- the ARPUs are much higher than we did in the past because sort of it has much higher ARPU than OpenPort. And really when we talk about lower usage, I don’t think we are really talking about our broadband curve is that actually a higher revenues and higher usage than we had previously seen in our previous generation of product. What we are talking about is really, you are not out on -- if you are not out on -- if you can’t make that trip, you can’t make that scientific expedition, you can’t go on your hunting trip, you can’t -- if you are not using that piece of equipment that you typically are tracking in that month, if you are not sending pictures from the piece of heavy gain, that’s usage and it’s really because people can’t use it right now. It’s just they are remaining in the glove box right now, perhaps, and paying minimum charges, but they are not taking them out. So I obviously expect that will turn around eventually as people start able to be unlockdown and get out and about and do their normal business.
Tom Fitzpatrick: I would say, a huge impact on usage was evident in aviation and that’s in our IoT business, as I said in my prepared remarks, that equipment used for safety services on commercial airliners, two of our partners in particular. And as I said, it ran two sticks a quarter and on a dime, it went down 60%. So that is in a kind of very abrupt and acute impact on usage that we identify quite early.
Matt Desch: Relatively small part of our business…
Hamed Khorstan: Okay.
Matt Desch: …but it’s still an important one.
Hamed Khorstan: Thank you.
Matt Desch: Okay. Thank you.
Operator: Our next question is from Anthony Klarman from Deutsche Bank. Go ahead.
Anthony Klarman: Hi. Thanks. Thank you. A bunch of my questions were answered, but, I think, we are all trying to get to the same thing here. So maybe I will try to ask it slightly differently. You broke out broadband this quarter and has a 28% year-over-year growth rate in it and given that we can’t model to the $75 million run rate exit 2021 level. I guess, Tom or Matt, could you provide any kind of anecdotal view as to what maybe the April trend in that look like on a month-over-month basis? I guess we know broadband is going to continue to be a growth area for you. But I am wondering if we can maybe help quantify what the change in the growth rate might have look like in April relative to what you recorded.
Matt Desch: Tom can take a crack at this too. It really comes down to installation. It’s just that they have cut the growth rate dramatically but we are still growing. So, while we may have expected hundreds of ships to be installed in a month on a net basis, it’s quite a bit lower than that. It’s still growing, and again, each Certus activation is at a higher ARPU than any OpenPort terminal. And I will say one thing that’s been surprising is this the OpenPort terminals are declining probably at lower rate than we thought. So people aren’t taking them off either. So they are kind of staying off. They are continuing to be active on ships. So, net-net, we are adding Certus terminals faster than OpenPort terminals are declining. But everything is just going slower right now and I don’t think that we want to really try to look out too much further than that or give too much additional color on the year because it’s just too early. We have only had about seven weeks of this happening like this. And there are some positive things we are hearing out of Asia, where there’s some ports are starting to open up. Some countries are starting to push to get out. But we can’t tell exactly how that will relate to the installation rate until we see it happen further. So anything further to try to describe what that means or exactly how it will mean at the end of the year, I think, it’s just a little premature right now.
Tom Fitzpatrick: I would just say, Anthony, maybe...
Anthony Klarman:
Tom Fitzpatrick: …our broadband business is unique and it’s growing sales right through April. We didn’t do that in telephony.
Anthony Klarman: Yeah. Look, I think, that’s helpful. On the telephony side, you mentioned you don’t see tremendous exposure to people like Speedcast, because you will ultimately collect that receivable whether it’s at the resolution of their bankruptcy or some other period and you are a critical vendor for most of those. I guess, could you talk a little bit about any exposure that you might have or that you see in the consumer in maybe small or medium-sized business area? Those seem to be the areas that are being hit particularly hardest and whether that -- I don’t know if that’s something that kind of shows up and access an air time or if there are maybe a collection of just a bunch of smaller businesses where there are some potential sort of end market impact as you think about what the trajectory of the numbers looked like throughout 2020.
Tom Fitzpatrick: Yeah. So it’s telephony -- and we are seeing that, the telephony is, there’s one thing going on there and that is channel shutdown, and we are not inactivation. As I said in my remark or as I said earlier, the deactivation in telephony it looks just like 2019. It’s a lack of activation because of the lockdown. Where we are exposed significantly to the consumer, is in our personal communication segment and IoT, that channel got locked down, those activation stopped happening, consumers started adopting lower usage plan, effectively suspend plans and we have been talking to our channel partners and that was a big grower for us. If you will recall in 2019, we grew by over $4 million, and we won’t be that growing here in 2020. So that’s the direct hit that is consumer related.
Matt Desch: Yeah. And I would say that business is…
Tom Fitzpatrick: Yeah. And income…
Matt Desch: I am sorry, we are just -- we are very competitive in that segment and actually we have more products coming into the market this year. There are more partners who are introducing products. We are seeing some new product be introduced in -- and doing very well in January and February, they were exceeding the expectations. So I’d say we are positioned very well in that market. It just feels like it’s lockdown and that’s what our partners are telling us. They are not able to get into stores and until the stores open up and people start feeling like they can -- like it make sense to go out and get on an airplane and travel, that will be slow. I don’t know if there will be a catch up there or if that will just sort of start again and grow from whatever point it starts from today. We will have to see.
Anthony Klarman: Thanks. Final one for me, I think, you guys had given some longer range views on leverage a quarter or two ago as you were talking about where you ultimately saw the business getting down to from a balance sheet perspective and that that would maybe trigger returns of capital as you reach that. I guess given that it may take longer now to achieve those metrics, any change in the view as to how you think about capital allocation in terms of deleveraging versus shareholder or capital returns?
Tom Fitzpatrick: No. We still see -- we still like our targeted range of 2.5 times to 3.5 times leverage and we will do shareholder friendly things to kind of maintain that level.
Anthony Klarman: All right. Thank you.
Operator: [Operator Instructions] Our next question is from Louie DiPalma from William Blair. Go ahead.
Louie DiPalma: Matt, Tom, and Ken, good morning.
Matt Desch: Hey, Louie. 
Tom Fitzpatrick: Hey, Louie. 
Louie DiPalma: Are you guys decentralized this morning?
Matt Desch: We are -- I mean, I -- Ken and I are maintaining a social distance here in our headquarters, which is quite lonely, if I might add, and dark because all of our employees are working from home. But Tom is -- I am picturing him sitting on a beach someplace. But, I think, he’s probably in his office.
Louie DiPalma: Nice. I hope you guys continue to do well. First, for Tom on the beach, free cash flow…
Tom Fitzpatrick: I am not in a beach, Louie. I am not in a beach, just so you know.
Louie DiPalma: Tom, free cash flow is now the focus area for investors. Can you repeat what your pro forma free cash flow assumption is for 2020 and the new annual cash interest rate?
Tom Fitzpatrick: Right. So, Louie, on the levered free cash flow, yeah, there’s a schedule on our website and I -- in the -- that I took you through in my prepared remarks, but the number is $177 million and we used $332 million on the EBITDA and we lay out all the assumptions there on our website. So, and on our interest rate 60% or we have about a $1 billion fixed that we swapped with a $1 billion and that’s just inside of 6%, and then, the balance is L plus $350 million on our Term Loan B.
Louie DiPalma: Okay. Sounds good. And for Matt, you touched upon this several times and this might also relate to Tom. But as it relates to your commercial plans for satellite phones, the aircraft cockpit plans, the Garmin personal navigation devices and asset trackers. Can you quantify how much of ARPU is like based -- like fixed versus like usage-based ARPU? I know you suggested that, like, IoT seems to be more sensitive than the other plans. But can you just provide a quick overview across your different services like base ARPU versus like usage-based ARPU?
Matt Desch: Right. So -- sure. So for commercial services, right, for 2019, you will check to this number, like, right around $300 million in commercial service and so, fixed, which is kind of access is 78% and air is like 22% and that varies depending on telephony is heavier access, it’s more like 82%, MRC 18% usage, whereas IoT is 73% kind of MRC recurring charge and 27% usage. So IoT is heavier usage based, whereas telephony is the opposite, but overall, about 78%, 22% MRC versus usage.
Louie DiPalma: Thanks. Thanks, Tom. And the last one for me for Matt, can you provide any comments on if there are any implication for Iridium as it relates to the FCC’s recent Ligado ruling?
Matt Desch: Yeah. As you know probably from reading my tweets, I am obviously not happy about that. We have been against there being approved for years out of concern that if there’s too much usage that it would possibly impact our service quality in North America as it would, by the way, for GPS as well in front of a different part of their spectrum. And we have been aligned on that, obviously, we remain concerned long-term because we can’t move and are kind of surprised how fast this has moved. But it’s not somehow a near-term threat to us in some ways. They still have to build base station which they don’t have the capability of doing which means they probably need to sell their -- themselves or sell their spectrum to somebody else to do that and no devices currently can access that spectrum. Currently, they talk about a 5G or IoT someday, well, there are any devices today that can access that.  So it’s years down the down the road, but we shouldn’t have to be dealing with that. That’s why we continue to reject it. We continue to fight it and there are a number of ways in which we will continue to work with a whole industry particularly the GPS industry with the Department of Transportation, the aviation users that are concerned, the Department of -- the defense department which is concerned about the usage of GPS and all the other concerned to keep fighting this because we just don’t think it’s something we should have to be dealing with. But it’s not in any way even an intermediate or even medium-term concern for us, right.
Louie DiPalma: Sounds good. Thanks, Matt. And I hope everybody stays healthy.
Matt Desch: Thanks. You too Louis.
Operator: Our next question is from Mathieu Robilliard from Barclays. Go ahead.
Mathieu Robilliard: Yes. Good morning all and thank you for taking the questions. First, coming back to one of your comments about the fact that activity in Asia is picking up in some countries, I was wondering if you could give us a sense of where the maritime activations, which one were taking place and where you were expecting them to take place throughout the year as it based North America heavy or is it Asia or is it false spread, because obviously, countries will come in and out of lockdown at different points in time. So maybe you could help us understand the trends for the year. Second, with regards to circuit for the aviation segment, if I remember correctly, I think creating my, a plan to launch your product by the end of the year. Does the current crisis impacting in any way the launch plans in terms of the feasibility of launching it? And then finally, back last year you had signed the MLU with OneWeb, I think it’s still at the very beginning but since Renesas Chapter 11, I was wondering if there was any impact that we should be aware with regards to your plan? Thank you.
Matt Desch: Okay. Thanks, Mathieu. Yes. For maritime, I would say, we are pretty well spread out all -- over all the world and all the port. So as to the extent it related to activation particularly, as I said, were more -- we are not a cruise ship sort of company, even though were used in some cases for like the bridge in a cruise ship, but were really not that heavily exposed to that industry. So, ships are moving, but they are really not putting in new installations on for the most part and as that opens up in port, perhaps we will start seeing some improvements. But it pretty well spread out over the whole world, we are broadly spread out there. Anyway and as far as aviation, yes, there are products underway is actually multiple products underway this year. It’s really kind of two different products, two different applications. In aviation, there is, sort of, a basic service that could be put on any airplanes from general aviation up to a commercial airliner or just communication. There’s also a safety services -- service which requires certification. The first one’s going to come before the second one. We don’t have a lot of control over because actually our overall satellite service is available today and we support the certification for the safety services. It’s more when the OEM terminal vendors are ready and we are kind of reliant upon them, and we are working with them on their terminals. And I think we are going to see one on air here very soon, and we will see more, I think, coming as the year goes on. I don’t know what that really means in terms of when they will be ready to implement their service, like, perhaps, there could be some by the end of this year, but I think that’s more of a 2021 activity. Your last question was about OneWeb. Yeah, as I said in the past, I mean, OneWeb was a potential partner. It wasn’t a competitor in any way to us. So we are sorry to see them go. However, there was no expectations of any revenue for the next couple of years with OneWeb because their service still had to be activated, had to go into service and products, to combine our two services together, it had to be put together. We had no expectations of any revenue coming from that for a while, and in fact, we could see that OneWeb wasn’t working too hard on the product even since we announced in MOU. So I don’t think that has any effect one way or the other on us right now. And we will continue to see that segment, I think, it will have -- I think, obviously, COVID continues to impact financing and other things for those new mega constellations. I think, it will probably slow some of them down a little bit in terms of going into service as it may affect that industry but that really doesn’t have any impact on Iridium at all. We are just completely independent of that industry.
Mathieu Robilliard: Great. Thank you very much.
Matt Desch: Thanks, Mathieu.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back to management for closing remarks.
Matt Desch: Well, I hope this is one of the last conference calls we have to take in this new Coronavirus environment, but who knows how long this is going to last. But in the meantime I hope all of you stay safe and stay at home and but do keep in touch because I think this will continue to be an interesting year and we are -- we look forward to seeing you and describe more about what the environment is when we are on our second quarter call together. Take care. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.